Operator: Good morning, and welcome to Coda Octopus Group's Fiscal Year 2025 Earnings Conference Call. My name is Shamali, and I will be your operator today. Before this call, Coda Octopus issued its financial results for the fiscal year ended October 31, 2025, including a press release, a copy of which will be furnished in a report filed with the SEC and will be available in the Investor Relations section of the company's website. Joining us on today's call from Coda Octopus are its Chair and CEO, Annmarie Gayle, its interim CFO, Gayle Jardine, its President of Technology and Director, Blair Cunningham, and Dylan King from their investor relations team. Following their remarks, we will open the call for questions. Before we begin, Dylan King from the company's internal investor relations team will make a brief introductory statement. Dylan, please proceed.
Dylan King: Thank you, operator. Good morning, everyone. Welcome to Coda Octopus' fiscal year 2025 earnings conference call. Before management begins their formal remarks, we would like to remind everyone that some statements we are making today may be considered forward-looking statements under securities law and involve a number of risks and uncertainties. As a result, we caution you that there are a number of factors, many of which are beyond our control, which could cause actual results and events to differ materially from those described in the forward-looking statements. For more detailed risks, uncertainties, and assumptions relating to our forward-looking statements, please see the disclosures in our earnings release and public filings made with the Securities and Exchange Commission. We disclaim any obligation or undertaking to update forward-looking statements to reflect circumstances or events that occur after the date the forward-looking statements are made, except as may be required by law. We refer you to our filings with the Securities and Exchange Commission for detailed disclosures and descriptions of our business, as well as uncertainties and other variable circumstances, including, but not limited to, risks and uncertainties identified in our Form 10-K for the year ended October 31, 2025, and Forms 10-Q for the first, second, and third quarters of our fiscal year 2025. You may get Coda Octopus' Securities and Exchange Commission filings free by visiting the SEC website at www.sec.gov. I would also like to remind everyone that this call is being recorded and will be made available for replay via a link in the investor relations section of Coda Octopus' website. Finally, as a reminder, this is our fiscal year 2025 reporting, and all comparisons, unless explicitly stated otherwise, are with our fiscal year 2024. Now I will turn the call over to the company's Chair and CEO, Annmarie Gayle. Annmarie?
Annmarie Gayle: Thanks, Dylan, and good morning, everyone. Thank you for joining us for our fiscal year 2025 earnings call. Despite the challenging global policy environment, our consolidated net revenue in fiscal year 2025 increased by 30.7%, and I believe that we have delivered a solid set of results. For those who are new to the Coda Octopus story, our business is made up of three discrete business operations: the marine technology business, the defense engineering services businesses, and our recently added acoustics, sensors, and materials business unit. Within our group, our core business is the marine technology. This business generates most of our revenue, and in the fiscal year 2025, it generated 49.8% of our consolidated net revenue. It is around this business that we are building our growth strategy. The marine technology business operates in the subsea market and is home to key disruptive underwater technologies. These technologies are bringing the smartphone revolution underwater by providing a comprehensive real-time information platform, which provides vision underwater and allows our customers to make real-time decisions. This technology is a key enabler for the rapidly emerging AI-enabled autonomous capability required by the subsea market as it provides real-time 3D perception underwater. The specific addressable markets which are of relevance are the imaging sonar market and diving market. It is these market segments that our growth strategy is built around. Turning to our flagship imaging sonar, the Echoscope, the Echoscope is a real-time three-dimensional volumetric imaging sonar that can generate a real-time three-dimensional image underwater in zero visibility water conditions. This is widely used in the commercial offshore marine market for a range of underwater applications. A significant part of our annual revenue is derived from the commercial offshore marine market. To achieve the growth that shareholders want to see from our company, we have to increase our market share for underwater imaging sensors in the defense space. There are many ongoing defense programs globally where new classes of underwater vehicles are being adopted. Significant budgets are appropriated for this. The Echoscope's uniqueness of being a single sensor for multiple on-sea activities presents a significant advantage over other technologies. It allows the consolidation of multiple sensors into a single power-efficient unit without compromising the various missions to be executed. We recently launched our next generation of ultra-small form factor three-dimensional sonars, the Nanogen series. The three-dimensional sonars within our Nanogen series are a shade bigger than a smartphone and have been specifically designed for the emerging small class underwater platform encompassing manned, unmanned surface, subsurface, and fully autonomous robotic vehicles. The addition of the Nanogen series allows us to address a larger swath of the imaging sonar market. Our second key technology is the DAVID, the Diver Augmented Vision Display system. The DAVID provides a real-time information platform for diving operations, increasing safety and efficiency. The addressable market for the DAVID technology includes both the defense and commercial diving sectors. The untethered DAVID variant addresses the special forces type of divers and we believe constitutes the largest addressable market for the technology. The DAVID Tether system is already operational and is now the subject of focused business development effort to get broader adoption. The untethered variant of DAVID, which we believe constitutes the largest addressable market for the DAVID technology, has been the subject of a multiyear hardening program which we successfully concluded in fiscal year 2025. Following the successful conclusion of this hardening program, we delivered a small batch of 16 new generation untethered DAVID systems. This variant is now going through approved Navy use assessment which we believe will be the catalyst for broader adoption of the technology. We are also pleased with the acquisition of Precision Acoustics Limited, which is a recognized leader of acoustics and measurement centers widely used in the medical sector. The addition of this company expands our expertise in underwater acoustics, which is critical for maintaining and extending our lead in real-time 3D imaging underwater. It also positions the group to compete for larger defense contracts. Now turning to fiscal year 2025 highlights relating to our core business, the marine technology business. This business sells its products and solutions worldwide. Key highlights in the period include this business increased revenue by 3.2%. In respect of its revenue structure in the 2025 period, 46% of revenue was generated from the defense sector with 54% from the commercial marine sector. 71.9% of revenue generated by this business relates to Echoscope and 28.1% relates to DAVID. Hardware sales increased by 30.5% and were $9.5 million compared to $7.2 million in the previous fiscal year. Hardware sales to Asia, a strategically important market for this business, increased by approximately 7.7% and were $5.9 million compared to $5.5 million in the previous fiscal year. Rental assets were significantly underutilized in fiscal year 2025, resulting in lower units of rentals and associated services. This also impacted on the gross profit margin of this business. This reflects the change in US policy on funding for offshore renewables, which caused many projects to be shelved as reported by Shell, Orsted, BP, and others. Now turning to highlights relating to the defense engineering services business. In the fiscal year 2025, our defense engineering services business revenue increased by 5.6%. This business has long-standing relationships with prime defense contractors and has served the defense market for close to fifty years. It is reliant on receiving funding on the defense programs. During the fourth quarter, it experienced delays in receiving contract awards due to the US government shutdown followed by the use of continuing resolution to fund these programs. The success of the defense engineering business is dependent on increasing the number of defense programs that they sell proprietary parts into. Now turning to highlights relating to the newly acquired Precision Acoustics Limited. In the fiscal year 2025, this business unit contributed 20.4% to our net consolidated revenue. We continue to be very pleased with this acquisition and reiterate that it positions the group to collectively respond to large defense requirements, particularly in the underwater acoustic space. We continue to make it our priority to focus on executing our growth strategy. Blair Cunningham, our President of Technology, will be updating you on our progress and various milestones around our core technologies which underpin our growth strategy. I will now turn the call over to Blair Cunningham.
Blair Cunningham: Thank you, Annmarie, and good morning, everyone. Today, I will focus on progress that we have made around our core technologies, Echoscope and DAVID. In fiscal year 2025, we saw an increase in sales of both Echoscope and DAVID. We also saw strong interest from the defense community. The Echoscope, our flagship technology, continues to represent the largest opportunity for scalable growth, particularly within the defense and security market. This sector is being fundamentally reshaped by the widespread adoption of next-generation underwater platforms encompassing manned, unmanned, surface, subsurface, and fully autonomous robotic vehicles. The defense subsea market is moving away from large bespoke platforms towards smaller networked and increasingly autonomous vehicles that can be deployed at scale. This transition favors technologies that maximize performance per unit cost and enable rapid production, modular upgrades, and multi-mission flexibility. A significant portion of these new programs is focused on reducing reliance on human-in-the-loop supervision and control for mission-critical decisions. The launch of the Echoscope Ipe Nanogen series, our ultra-compact real-time 3D imaging sonar, marks a critical step in enabling next-generation sub-AI-enabled autonomy. As the subsea industry moves away from vessel-intensive human-in-the-loop workflows, the Nanogen series provides the real-time 3D perception required to unlock scalable software-driven autonomy across a growing range of platforms. The Nanogen series delivers true real-time 3D imaging in an ultra-compact form factor, enabling autonomous systems to perceive, navigate, and make decisions independently underwater. Unlike traditional sonars designed primarily for data collection, the Nanogen series functions as a core perception sensor for AI-enabled platforms, supporting navigation, obstacle avoidance, target guidance, and adaptive mission execution without reliance on bandwidth-limited communications or post-processing. A single Nanogen CV sensor supports multiple high-value use cases, including subsea navigation, inspection, 3D modeling, subsea imaging, change detection, and gas and oil leak detection, allowing operators and platform developers to consolidate hardware, reduce integration complexity, and lower total system cost. This multi-mission flexibility positions the Nanogen series as a platform-agnostic technology, accelerating adoption across AUVs, ROVs, hybrid vehicles, resident subsea systems, and future autonomous fleets. The Nanogen series is aligned with the strongest growth drivers in the subsea market: autonomy, edge AI, reduced operational cost, and scalable deployment. By enabling higher levels of autonomy and mission efficiency with a single compact sensor, the Nanogen series strengthens Echoscope's role as a critical technology provider to the next generation of intelligent subsea platforms. We are seeing strong and accelerating interest supported by highly successful trials with a number of key defense customers, including the US Navy and several allied foreign navies across their respective subsea vehicle programs. These engagements span next-generation platforms designed for multi-mission operations, combining manned and autonomous capabilities within a single operational framework. By working closely with naval special operations forces, program sponsors, and platform and control system manufacturers, we ensure our technology is aligned with real operational requirements and emerging concepts of use. This collaborative approach enables us to demonstrate best-in-class performance and rapid integration across diverse subsea platforms. As the market continues to transition away from traditional single-purpose sonar systems towards intelligent, AI-enabled perception, our solutions are increasingly viewed as a core enabling technology for future subsea autonomy, situational awareness, and mission flexibility. We anticipate the procurement and program decisions for the active opportunities in which we have already completed end-customer demonstrations and operational trials will be made in early 2026. These programs are currently progressing through the final stages of technical evaluation, operational validation, and internal budget approval within the respective defense organizations. Subject to successful contract awards, we expect initial deliveries to commence within the 2026 fiscal year, aligned with customer deployment schedules and platform integration timelines. These programs are structured to support multi-mission subsea vehicles with both manned and autonomous operating modes, providing a strong foundation for follow-on orders, platform expansion, and long-term fleet adoption. Given the strategic importance of these programs and the shift toward AI-enabled next-generation subsea capabilities, we view these near-term decisions as a meaningful inflection point with the potential to convert demonstrated technical leadership into recurring production contracts and sustained growth. All these active programs are presently focused on 3D perception, navigation, and obstacle avoidance enabled by the Nanogen series. They represent longer-term growth opportunities for our DAVID augmented vision display solutions. Many of these subsea vehicle programs support diver operations or involve manned subsea platforms, both of which align directly with the target applications and markets for DAVID. Turning to the other significant pillar of our growth strategy, DAVID, our Diver Augmented Vision Display, this system is a cutting-edge safety, augmented reality technology purpose-built to enhance performance and situational awareness in low visibility and technically demanding underwater environments. In fiscal year 2025, we experienced real momentum around DAVID, with increased domestic interest from non-Navy defense organizations and government agencies, as well as from several foreign navies and commercial diving entities. We were contracted under several programs and successfully delivered multiple next-generation DAVID systems to this expanded user base, and we will continue to support, educate, and drive further adoption of these systems within this community. DAVID is being leveraged as a critical life support and visualization component, enhancing diver safety and mission effectiveness by delivering real-time life support data via the DAVID head-up display and 3D situational awareness through the compact Echoscope Ipe Nanogen series sonar. These initiatives exemplify the growing recognition of DAVID and Echoscope technologies as mission-critical tools in the evolving landscape of advanced military diving and underwater operations. During the fiscal year 2025, we completed the funded DUS hardening program under which the DAVID technology was jointly funded for adoption for the special forces market by the US and a leading foreign Navy. Following the successful completion and delivery of the DUS hardening program, we were awarded the initial order of 16 new generation untethered DAVID systems in fiscal year 2025 for fleet evaluation by US special forces. These systems are the culmination of extensive field testing and direct feedback from operational divers, funded under the DUS hardening program. Following the delivery of the initial production run of 16 DAVID untethered systems for the US Navy Mark 16 rebreather system in fiscal year 2025, the untethered DAVID variant is undergoing final approval of the US Navy's Authorization for Navy Use or ANU approval process. Following completion of this process, it is expected to support ongoing broader operational use and adoption of the untethered system. The DAVID untethered system continues to be fielded across an expanding community of EOD and special forces diver units for fleet evaluation and mission-specific tasking. The DAVID untethered system remains the largest growth opportunity for this transformative technology. For context, in the United States alone, there are approximately 14,000 divers within the potential government and defense user community for the DAVID untethered system. Fiscal year 2026 is an important year for the company in terms of reaching new milestones such as broader adoption of DAVID by foreign navies and Echoscope technology being adopted on some of the new autonomous AI-enabled platforms as a core perception sensor for navigation, obstacle avoidance, and target guidance. I will now turn the call over to Annmarie, and will be available to take your questions.
Annmarie Gayle: Thank you, Blair. Let me now turn the call over to our interim CFO, Gayle Jardine, to take you through our financials for fiscal year 2025 before I provide my closing remarks.
Gayle Jardine: Thank you, Annmarie, and good morning, everyone. Let me take you through our fiscal year 2025 financial results. Starting with revenue. In fiscal year 2025, we recorded total revenue of $26.6 million compared to $20.3 million in fiscal year 2024, an increase of 30.7%. Our core business, the marine technology business, generated revenue of $13.2 million compared to $12.8 million, representing a 3.2% increase over fiscal year 2024. Our acoustic sensors and materials business, which was added to our group in October 2024, recorded revenue of $5.4 million in fiscal year 2025 and added 20.4% to our consolidated net revenue. Our defense engineering business generated revenue of $7.9 million compared to $7.5 million, representing a 5.6% increase over fiscal year 2024. Moving on to gross profit and margin. In the fiscal year 2025, we generated gross profit of $17.7 million compared to $14.2 million in the fiscal year 2024. Consolidated gross margin was 66.5%, versus 69.8% in fiscal year 2024. This 3.3 percentage points decrease is mainly due to the impact of the lower margin acoustic sensors and material business being added, which accounts for two percentage points, as well as the mix of type and geography of sales in our core business. In our marine technology business, gross margin decreased to 74.5% in fiscal year 2025, compared to 77.9% in fiscal year 2024, reflecting the mix of type and geography of sales. With 30.5% more units of hardware sale compared to a reduction of 36.6% in the higher margin rental sales. The acoustic sensors and materials business realized a gross margin of 58.6%. Our Defense Engineering business gross margin increased to 58.6% in fiscal year 2025, versus 55.8% in the fiscal year 2024, again reflecting the mix of engineering projects during fiscal 2025. Now looking at our operating expenses. Total operating expenses for the fiscal year 2025 increased by 24% to $13.1 million compared to $10.6 million in fiscal year 2024. The main factors for the increase in total operating expenses are the addition of Precision Acoustics Limited into the group, which added 22.1% to these costs, as well as the weakening of the US dollar against the British pound and Danish kroner, which impacted these costs when translated into US dollars from the base currencies for reporting purposes. Our selling, general, and administrative costs in the fiscal year 2025 totaled $10.7 million, an increase of 27.9% from $8.3 million in fiscal year 2024, reflecting the addition of the new business unit into the group and the inclusion of the earn-out provision as per the Precision Acoustics Limited acquisition agreement. SG&A as a percentage of consolidated net revenue in year 2025 was 40.2%, compared to 41.1% in the fiscal year 2024. Operating income in fiscal year 2025 was $4.5 million compared to $3.6 million in fiscal year 2024, an increase of 26.6%. Operating margin was 17.1%, compared to 17.6% in fiscal year 2024, which we attribute to the impact of the overall increase in our total operating expenses by 24% in conjunction with an increase in consolidated net revenue of 30.7%. Pretax income in fiscal year 2025 was $5.5 million compared to $4.6 million in fiscal year 2024. Net income after taxes in fiscal year 2025 was $4.1 million or 37¢ per diluted share, compared to $3.6 million or 32¢ per diluted share in fiscal year 2024. In fiscal year 2025, we have provided for a current tax expense of $1.1 million compared to $700,000 in the fiscal year 2024. Switching now to our balance sheet. As of October 31, 2025, we had $28.7 million in cash and cash equivalents on hand and no debt. This represents an increase of $6.2 million from October 31, 2024, with the comparable figure of $22.5 million. Total assets increased by $6.9 million to $64.5 million in fiscal year 2025. Finally, to summarize the financial impact in the fiscal year 2025 of the introduction of the acoustic sensors and materials business into the group, it contributed 20.4% of net consolidated revenue and 18% to gross profit. Gross profit margin for this business was $3.2 million or 58.6%. Thank you. That completes my summary. Let me turn the call back over to Annmarie for her closing remarks.
Annmarie Gayle: Thank you, Gayle. I'm very pleased with the increase in revenue in the fiscal year 2025 and our overall financial results, including earnings per share. I'm also pleased with the progress we are making against our key milestones for growing our business. Some of these include, in respect of our revenue structure, we increased sales in the defense sector where 46% of our core business revenue emanated from the defense sector and 54% from the commercial marine offshore sector. Realizing sales of $3.7 million relating to DAVID in the fiscal year 2025, successfully completing the DAVID Hardening program, which paves the way for broader adoption of the DAVID technology by the military diving market subject to receiving approved Navy use status. The launch of our Nanogen series sonar, which we believe is well positioned as a core real-time perception sensor in the rapidly emerging AI-enabled autonomous and semi-autonomous platforms in the subsea market. And finally, receiving our first order from a highly influential European foreign navy for the DAVID untethered system. We certainly believe that fiscal year 2025 was critical for completing key development activities under the DAVID program, which were a prerequisite for broader adoption, as well as for launching the Nanogen series, which positions us to support a growing range of AI-enabled subsea robotic and autonomous systems. In terms of cash deployment, we will continue to prosecute our M&A strategy in fiscal year 2026, and we are continuing to build our M&A pipeline. We are very keen to close another acquisition in fiscal year 2026. Through our strategy, we aim to pivot the revenue model of the marine technology business towards a multiyear program-based adoption model, which supports recurring multiple sales on the programs of record and long-tail revenue as we have started to see with the DAVID product line. We continue to work to create stable long-term shareholder value and execute against our strategy to grow the business, which is our single biggest priority at the group. To conclude, we would like to thank our shareholders for their continued support. We are now happy to answer any questions. Operator?
Operator: Thank you. We will now be conducting a question and answer session. If you would like to ask a question, please press 1 on your telephone keypad. A confirmation tone will indicate your line in the question queue. You may press 2 to remove yourself from the queue. For participants using speaker equipment, it may be necessary to pick up the handset before pressing the star keys. One moment, while we poll for questions. Our first question comes from the line of Brian Kinstlinger with Alliance Global Partners.
Brian Kinstlinger: Please proceed with your question.
Annmarie Gayle: Great. Thanks for taking my questions. This is Kevin for Brian. First, we were hearing about certain deliveries to the Indian Navy through an international prime. What Coda products were shipped to the Indian Navy, and is this a brand new customer, or have you worked with the Indian Navy in the past? And then broadly speaking, do you see any significant opportunities within India in the near to medium term?
Annmarie Gayle: Sorry. Thanks very much for that question. I'm not clear. The Indian Navy, I'm not sure where that has come from.
Brian Kinstlinger: Okay. Maybe I must be mistaken. I can move on to a different one. Can you update us on the progress in Europe? I believe you delivered two untethered systems to a European Navy. How is the satisfaction? And do you expect larger orders ahead from the Navy?
Annmarie Gayle: Right. Thank you very much for that question. So I'm really, really excited about that development. As we mentioned earlier, we've completed the DAVID untethered hardening program. That's really the prerequisite to broader adoption. So what we really feel at this stage on the DAVID technology, which is one of our key pillars for our growth, we feel that we've spent last year focused on completing the hardening program and delivering systems to the US Navy. Really, now we're really waiting for that to complete the approved Navy use status, which then means the product will be operational and will be the catalyst for broader adoption. Then pivoting from outside of the US, really, this year, what is really key for Coda Octopus is broader adoption of the technology outside of the US, and in our fourth quarter, we delivered two systems to a very, very influential European Navy, and we will be providing training to that navy in our Q2, and then we believe that will be the catalyst for further adoption of the DAVID untethered system. So we're really, really excited about that, and we're waiting to support that customer. And we would expect Q3, Q4 would be where we start understanding opportunities for that customer.
Brian Kinstlinger: Thanks. And then can you quantify cumulative deliveries of the untethered DAVID system? And last quarter, I believe you said Sorry. Could you repeat that? Could you what? Sorry. Could you repeat that? Could you quantify the cumulative deliveries of the DAVID untethered system? And I think last quarter, you said your target was $3.5 to $4 million of DAVID in fiscal 2025. Did you achieve that? And then given the progress you're making, what kind of range do you expect for DAVID contribution for the revenue in fiscal 2026?
Annmarie Gayle: So in fiscal 2025, we did $3.7 million for DAVID. And 2026, really, of course, our internal business plan presupposes that we beat this. However, it's really difficult to see as we're waiting for completion of the assessment of the approval, the approved Navy use status for the product, which is the prerequisite for the product being operational. So we expect really to have that close to the Q2. And, really, Q3 and Q4 is where we can really start understanding what revenues will be for the untethered variant in 2026. So DAVID revenue will be lumpy and back-ended to the third quarter and fourth quarter for the simple reason that until it goes through, we've delivered the evaluation systems. And until it gets on the ANU list, which is the approved Navy use list, it's very difficult for us to quantify what the budget is going to be. In addition to that, though, we're really focused on, as I said this year, getting broader adoption for the DAVID technology outside of the US. So we feel we've done all of the development programs. We've got a good understanding of where the trajectory of the product in the US. We're pretty much waiting for budgets and waiting for the budget line appropriation. Programs are now being funded by continuing resolutions. So we really don't know what the 2026 US budget is going to be. There will be a budget, but we don't have the visibility of that right now. But that aside, we take that as a given, and we presuppose that we're going to beat our $3.7 million. But we're really laser-focused now on the broader adoption now that we've finished the development program, broader adoption outside of the US. And this delivery to this European Navy is really a pivotal moment for the technology because this is really a trendsetter navy in Europe. So we're very excited about that. So I can't say what our target is. Really don't know because we're waiting for budget allocation in the US. But I think what we're saying is that we did $3.7 million in fiscal 2025, and we anticipate beating that.
Brian Kinstlinger: Great. Thank you. And then can you quantify how many foreign navies have tested or are testing DAVID? And once you get in the door, can you discuss the sales cycle? How long might that occur? And then the time frame for deliveries and then what would be a reasonable assumption for large quantity sales?
Annmarie Gayle: Blair, did you want to talk about just broadly the business development activities with the broader navy community?
Blair Cunningham: Yes, absolutely. Yeah. I think it's been critical in both 2025 and prior to that, having a very close relationship with the US Navy is critical for the product because, as Annmarie stated, having the ANU, you know, authorization for naval use is critical for the rest of the navies to understand that this is equipment that they can put through to budget lines and move forward. In terms of the number of physical navies where we presented this product to, physically, in diving, we've been involved in a number of what I would call worldwide navy collective missions, including RIMPAC, for example, which is in Hawaii, at which point, even at that single event, I think we had 10 different country navies diving the system. And that's obviously not a statement that all 10 of those navies are going to move forward with that, but it gives an idea of the number of entities that we're working with. I think it's probably easier to focus on the European sector because that's much more, you know, being defined and often maybe we deliver the system. You know, I've personally been working with them for the last two years, just to give you an idea of the gestation cycle. And now that the product is coming close to being, you know, annual deliverable, they are making their early investments into the program, but they are very, very committed. I think they're influential also as such that, you know, that particular navy has a very strong investment in navy diving of all factors about special forces, hard cut diving, salvage, for example, which we cover all bases. But they are incredibly well connected to all of the neighboring navies such that when they place an order, it's fairly well read that the adjacent navies will also follow suit and they will adopt the same level of equipment. And that's exactly what we are seeing today.
Brian Kinstlinger: So I think as Annmarie said, you were delivering out the first of those systems to that navy. There will, I'm sure, be invites of the other neighboring navies to that training event that I'll be conducting. And then Q3, Q4 is when we really understand how that progression moves forward.
Annmarie Gayle: Yeah. Yes. And just to add there, the key benchmark for us in 2026 is to secure meaningful adoption of DAVID outside of the US. That is our key benchmark. We feel in terms of the product, its acceptance on the US side, we take that as a given. As Blair says, we've got very good relationships. The customer is very excited about the technology. I think the team did a great job with really understanding the requirements of the navy, the feedback, delivering the 16 systems based on feedback, and I feel all of that is settled. In addition to that, over the last year, what we saw, we saw real momentum on broadening the scope of the DAVID technology actually. So we had funding from several programs where they want to integrate the DAVID in their as a critical tool for their application. So we feel the DAVID technology is really now mature and, really, all the development that we've been talking about, we feel, you know, we've invested in that. That's behind us. And now we are really focused this year on adoption outside of the US, and that's what we are focused on. And in terms of your question about quantities, I'm really, that's pure conjecture. I really can't say what quantities, but what I really want to emphasize is that last year, we did $3.7 million in DAVID. Our internal business plan assumes that we will beat this number. And one caveat I will say is that DAVID revenue will be lumpy for a number of reasons. We're waiting for the ANU process. We expect our European customers, it's the third and fourth quarter before really any form of procurement will take place. And so I think that that's really where I'll leave it on DAVID and its trajectory.
Brian Kinstlinger: Thanks. And then last question is for the next generation sonar. Could you give us an update on what customer feedback is like?
Annmarie Gayle: Blair, did you want to take that?
Blair Cunningham: Yes. I can take that one. Yeah. Thank you very much for that question. Yeah. I think we are, you know, exceptionally excited to launch our Nanogen series. It really is a game changer for us in terms of really how wide a program we can actually fit our technology. And I think that'd be incredibly swiftly noticed by both the defense and oil and gas and other markets, you know, around the nanotechnology. I feel very much that we have really strong interest from a lot of those programs, and especially on the navy side, where we are already seeing considerable interest for existing funded programs. So they would typically execute what we would call a PIP or a product or platform improvement program. And that really is a formal engineering and funding pathway for upgrading already fielded systems. So either adding new capabilities, addressing, say, system deficiencies, improving reliability, and inserting new technology into existing platforms. So the interest to date from the community has been largely focused on the capability growth enabled by Nano. So we're adding brand new capability to those existing platforms. But the introduction of Nano does actually address multiple of those justification categories. So as a result, I see that the opportunities are much closer to program execution. They're either having lower, you know, acquisition risks. And they're definitely much more shorter term with a predictable volume profile. In other words, we can integrate onto existing platforms that are in the field, and this isn't waiting on perhaps a new funding program for an entire new vehicle. That said, we are also being approached by multiple defense companies for integration of the nanotechnology at a ground-up level, which is also very exciting. But we understand that, you know, those programs have got a longer gestation period. So we're very much, again, laser-focused on the PIP approach where we can integrate our technology onto already well-established programs and products. And I do see also that we will have closer and closer relationships with, you know, some of those, you know, some of those sort of people involved in this program as we integrate the Nano into that program. But really, taking the existing well-proven for twenty odd years at our 3D real-time volumetric sonar, which we still really stand, you know, almost alone in that capability and bringing that to these new AI-enabled, you know, vehicles, be they autonomous, semi-autonomous, or manned. And, you know, we're really excited to see the growth on that.
Annmarie Gayle: Thank you.
Blair Cunningham: Thank you.
Operator: Ma'am, thank you. And as a reminder, if anyone had any questions, you may press 1. Our next question comes from the line of Nick Waldo, a private investor. Please proceed with your question.
Nick Waldo: Hey, thanks for taking my question. I just had a quick one and a quick follow-up. So as you look into calendar 2026, how would you characterize the offshore commercial demand environment? Do you see it improving out of 2025? And what indicators do you look for?
Annmarie Gayle: Well, look, you know, the commercial market is really our, the commercial marine market, we're well established. And it's less a fight about what the technology can and can't do. So I think year on year out, we see good for the Echoscope within the commercial market. I think what the rental side has been really sort of slow, but Q4, we saw quite an uptick in rentals. And rentals are important for the business insofar as they are the big offshore companies who don't really buy equipment but run these very long projects where you can have multiple Echoscopes and engineering services on those programs. So they're really, really important to us. For the first March, the rental side was But in the fourth quarter, we saw a significant uptick in rental opportunities and rental fees. So looking out for us, the important part for our revenue growth is the defense market. It's always, and the reason for that is because the defense market has opportunities for multiple sales and long-tail revenue. So that's pretty much really where our effort is as a business to grow. And Blair talked very much about we've got a number of programs where the Echoscope is a contender for being embedded in those programs that will yield this long-tail recurring revenue that we talk about, but also, luckily for us, we have broken into some nearer-term catalysts on these PIP programs. So I feel really for us, that for the business to really grow, it is the defense market that really, we are allocating most of our resources and business development effort. Because as I said, in the commercial markets there, we're well established. You know, we've been in this game for, you know, over thirty years. We're well known. It's a small community. But the site that we really have to grow is the defense space, and I'm also very pleased with our core business revenue structure this fiscal year because the previous fiscal year, we did around 40% in the defense space. This year, we did 46%. So I feel we're making progress, and that's what we have to do to see significant growth for our business. And these PIP programs that are near-term catalysts for us with the focus on Nano, it's really, really where we're spending a lot of our time this year. Thank you.
Nick Waldo: And then looking forward, now that you have $28 million in cash on hand, a pretty hefty amount, how do you think about capital allocation priorities going from here?
Annmarie Gayle: Thanks. Well, as I said, actually, in my closing remarks, recognizing we do have quite a lot of cash, we feel the best way to give return to investors and also to grow the business is through accretive value-added acquisitions. So we're really actively looking to complete an acquisition this year. We're still looking at targets. But, of course, we really want to make sure we make the right decision for the group. So we're putting a lot of work into screening what makes sense for our business.
Nick Waldo: Thank you.
Annmarie Gayle: You're welcome.
Operator: Thank you. And at this time, this concludes our question and answer session. I'd now like to turn the call back over to Annmarie Gayle.
Annmarie Gayle: Thank you, operator. Thank you for attending today's earnings call. Have a great day. Thank you, everyone.
Operator: Thank you for joining us today for Coda Octopus' conference call. You may now disconnect.